Operator: Excuse me, everyone. We now have Sean Reilly and Jay Johnson in conference. [Operator Instructions] 
 In the course of this discussion, Lamar may make forward-looking statements regarding the company, including statements about its future financial performance, strategic goals, plans and objectives, including with respect to the amount and timing of any distributions to stockholders and the impacts and effects of general economic conditions, including inflationary pressures on the company's business, financial conditions and results of operations. All forward-looking statements involve risks, uncertainties and contingencies, many of which are beyond Lamar's control and which may cause actual results to differ materially from anticipated results. 
 Lamar has identified important factors that could cause actual results to differ materially from those discussed in this company -- in this call and the company's first quarter 2024 earnings release and its most recent annual report on Form 10-K. Lamar refers you to those documents. Lamar's first quarter 2024 earnings release, which contains information required by Regulation G regarding certain non-GAAP financial measures was furnished to the SEC on a Form 8-K this morning and is available on the Investors section of Lamar's website, www.lamar.com. 
 I would now like to turn the conference over to Sean Reilly. Mr. Reilly, you may begin. 
Sean Reilly: Thank you, Michael. Good morning, and welcome to Lamar's Q1 2024 Earnings Call. 
 I'm pleased to report we had a very successful first quarter, one that exceeded our internal expectations for both revenue and EBITDA growth, thanks to continued strength in local sales and a renewed growth on our digital platform, both helped offset weakness in national ad spend. 
 For the quarter, revenue grew 5.3% on an acquisition-adjusted basis, the largest increase since the [ 2 ] and the 12th consecutive quarter of pro forma revenue growth. EBITDA also increased 6.5% on the same acquisition-adjusted basis. This despite some tough expense comps as a result of COVID relief grants received a year ago in our airport business. 
 Overall, the year is shaping up nicely. Pacings for the rest of 2024 are materially stronger than this time last year. Therefore, we're raising our guidance for full year AFFO per share to the range of $7.75 to $7.90 per share. We are recommending that the Board approve another $1.30 per share distribution for Q2. But if the year plays out as it appears it will, you will see us raise the distribution in August and perhaps also pay a special dividend at year-end. 
 Back to Q1, strong categories included service, amusements and attractions, and building and construction, while health care and insurance were relatively weaker. Revenue from political was $3.8 million, up nearly $3 million over the first quarter of 2023 and slightly ahead of the total for the first quarter of 2022. We expect political to continue to be a tailwind this year. 
 As I mentioned, our local business was extremely strong, up 6.7% versus the year earlier quarter. Programmatic was also very strong, up 27%. But on the whole, National was down about 5.5% versus the first quarter of 2023. We continue to see some larger accounts taking a cautious approach to their ad spend, and we foresee another decline in National in Q2, though maybe a tad better than in Q1. We are tweaking how we are pitching certain national accounts, and we are hopeful National will firm up as the year unfolds.
 I will note that we've had good success reselling the panels vacated by some of the national advertisers, which is reflected in the very strong local numbers that we saw in Q1. 
 On the Digital side, strength in Programmatic help that platform grow 2.7% on a same-store basis. Digital revenues now account for about 29% of our billboard billing. 
 It was a quiet quarter on the M&A front as we closed 4 deals for a total of $18 million. We expect that to continue. Our plan remains to dedicate the bulk of our free cash flow this year after dividends to paying off our $350 million Term A loan, which will further strengthen our balance sheet ahead of what we anticipate will be a more active period for deals in 2025 and beyond. 
 Before I turn it over to Jay, a personal note, I returned last night from our industry conference in California. It was a very upbeat meeting with lots of energy and optimism about out-of-home's position in the media landscape and the opportunities in front of us. Advertisers, particularly at the local level, clearly appreciate our ability to deliver contextually relevant, memorable messaging to their audience at competitive rates at the right time and in the right place. I was heartened to hear about some of the initiatives the industry is undertaking to enhance those capabilities. I know we're working hard here at Lamar to up our game, and I'm excited to see what's ahead. 
 With that, Jay, will walk through some more numbers and give an update on our ERP project. 
Jay Johnson: Thanks, Sean. Good morning, everyone, and thank you for joining us. 
 We had a solid first quarter and are pleased with our results, not only surpassing budget on revenue and adjusted EBITDA, but for operating expenses and AFFO as well. Q1 marked the second consecutive quarter of near double-digit AFFO growth as short-term interest rates are more stable, and we have seen strong reacceleration on the top line. Our billboard regions experienced mid-single-digit top line growth with the exception of the Midwest, which was essentially flat year-over-year. 
 While coming in below budget, acquisition-adjusted operating expenses increased 4.4%, primarily driven by minimum guarantees to our airport partners returning to normal. As you may recall, in 2023, we benefited from COVID-19 relief grants in our Airport business, especially in the first and third quarters, which will not repeat this year. Solid revenue growth in both Transit and Airport, which grew 11.6% and 20.4%, respectively, also contributed to expense growth with a heavier concentration of percentage rent contracts versus our core billboard portfolio. Acquisition-adjusted operating expenses increased on a consolidated basis. However, the Billboard division continued its focus on expense control, exceeding our expectations with expenses declining by approximately 70 basis points year-over-year. 
 Consolidated operating expense growth for the full year, acquisition adjusted, should be in the 3% to 3.5% range. Adjusted EBITDA for the quarter was $211.9 million compared to $198 million in 2023, which was an increase of 7.1%. On an acquisition-adjusted basis, adjusted EBITDA expanded by 6.5%. Adjusted EBITDA margin for the quarter remained strong at 42.5%, one of the strongest first quarters in recent history and expanding 50 basis points over the first quarter of 2023. 
 Adjusted funds from operations totaled $158.2 million in the first quarter compared to $144.1 million last year, an increase of 9.8% despite cash interest rising by $3 million, a headwind of approximately $0.03 per share. Diluted AFFO per share increased 9.2% to $1.54 per share versus $1.41 in the first quarter of 2023. 
 Local and regional sales also grew for the 12th consecutive quarter, but softness in our national sales business continues to be a headwind to our overall revenue growth. In spite of the national backdrop, we are encouraged by the resilience of local and regional sales, which accounted for approximately 82% of billboard revenue in the first quarter, up from 78% in the fourth quarter of last year. 
 On the capital expenditure front, total spend for the quarter was approximately $29.5 million, including $10.8 million of maintenance CapEx. And for the full year, we anticipate total CapEx of $125 million with maintenance CapEx comprising $50 million. 
 And now turning to our balance sheet. We have a well-laddered debt maturity schedule with no maturities until the Term Loan A in 2025. This year, we plan to use a substantial amount of cash flow after distribution to repay outstandings on the Term Loan A and anticipate repaying any remaining balance to withdraw on our revolving credit facility. The company's AR securitization matures in July 2025, and we will address that maturity, most likely through an extension in the second half of this year or early next year. In addition, the company has no bond maturities until 2028. 
 Based on debt outstanding at quarter end, our weighted average interest rate was 5.1% with a weighted average debt maturity of 4 years. We ended the quarter with total leverage of 3.14x, which remains amongst the lowest in the history of the company. Our secured debt leverage was 1.06x, and we're comfortably in compliance with both our total debt incurrence and secured debt maintenance test against covenants of 7x and 4.5x, respectively. 
 If 2024 plays out as planned, we should end the year with total leverage below 3x net debt to EBITDA as defined under our credit facility agreement. This focus on our balance sheet will result in approximately $1 billion of investment capacity, while remaining at or below the high end of our target leverage range of 3.5 to 4x net debt to EBITDA. Despite the sharp rise in interest rates over the past 24 months and based on current guidance, our interest coverage should end the year at roughly 6x adjusted debt to EBITDA -- adjusted EBITDA to cash interest. 
 While we do not have an interest coverage covenant in any of our debt agreements, we do monitor this important financial metric. The healthy coverage exemplifies the strength of our balance sheet and the ability to service our debt. 
 Our liquidity and access to capital remains strong as the company continues to enjoy access to both the debt and equity capital markets. At the end of the quarter, we had approximately $635 million in total liquidity, comprised of $36.4 million of cash on hand and $598.4 million available under our revolving credit facility. We ended the quarter with $143 million outstanding on the revolver and $235.7 million drawn on the company's AR securitization. 
 With our strong Q1 results and the outlook for the remainder of the year, we have increased our full year AFFO guidance by $0.08 at the midpoint. We now expect an AFFO range of $7.75 to $7.90 per share in 2024. Full year interest in our guidance totaled $168 million, which assumes short-term interest rates are unchanged for the remainder of the year. As I mentioned earlier, maintenance CapEx is budgeted for $50 million, and cash taxes are projected to come in around $10 million. 
 And finally, our technology enhancement initiative. We are pleased to announce that Phase 1 of the company's technology transformation is complete with the go-live of our new ERP system on April 1. I would like to thank the team at Lamar as well as our partners who have worked tirelessly over the past year to ensure this project was a success. The first phase focused primarily on addressing deferred maintenance and technical debt within our finance and accounting systems. Phase 2, which is scheduled to begin late Q2, early Q3, we'll focus on the revenue side of the business as we look to modernize and rationalize technology across our sales platform. We are excited to begin this next phase of the transformation journey, bringing efficiencies to the sales process and making it easier for our customers to engage with Lamar. 
 Again, we're quite pleased with this quarter's performance, particularly our strong local and regional sales as well as the outperformance of Transit and Airport on the top line. We look forward to executing on our operating strategy for the remainder of 2024. 
 I will now turn the call back over to Sean. 
Sean Reilly: Thanks, Jay. As Jay mentioned, thinking about regions, we had relative strength across all but one of our regions. I'm particularly proud of New York and Seattle. They really raised their game on local sales in the face of national softness. Also, as Jay mentioned, to shout out to Transit, particularly in Canada, which has returned to strong growth, and Airports, which showed exceptional growth. 
 Most of Q1's growth came from rate, but we also saw some gains in occupancy. On same-board digital, as I mentioned, we're proud to return to growth there at 2.7%. Recall that last year, for all -- for the full year, digital same-board revenue was down 1.8%. So good to see that positive number again. 
 In terms of local regional versus national programmatic, roughly in Q1, 82% local, 18% national, a tick up in local, it shows up in that stat. In fact, if you look at our top 10 customers, their revenue with us in Q1 totaled $23.3 million, which is less than 5% of our book. That just goes to illustrate that the strength is really across tens of thousands of local customers touched by our approximately 1,000 account executives across the country. 
 Again, on relative strength in verticals, services was up 14.5%, restaurants were up 6%, amusement and attractions up 11.4%, and building and construction, this is a great number here, up 33.2%. Relative weakness, of course, as we mentioned, health care and insurance continue to lag. 
 With that, we'll open it up for questions. 
Operator: [Operator Instructions] And our first question will come from Cameron McVeigh with Morgan Stanley. 
Cameron McVeigh: Just a couple of questions here. To start, as you look to the remainder of the year, how do you expect the cadence of organic growth to shape up, especially with consideration to the election in the back half of the year? 
Sean Reilly: Sure. So we have April in-house already and its growth was roughly the same as Q1. In terms of cadence playing out quarterly, Q2 might be a tad lower in its pro forma growth than Q1, but we see the back half being materially better. Again, we're going to get that lift from political, as you mentioned. So -- but I wouldn't look to too much quarterly variation actually. They're all going to be relatively in the same ballpark. 
Cameron McVeigh: Got it. And then secondly, I noticed the expected stock-based comp increased by about $15 million for the year. Is that tied to performance versus what was originally budgeted or maybe just more grants than you had expected? 
Sean Reilly: That, you nailed it right there. Last year, we didn't hit our internal goals, and we had less performance stock awards. This year, we are going to exceed our internal goals. And so that's the difference. 
Cameron McVeigh: Got it. And then -- okay. Finally, do you have any further color on the expected timing of the NOL usage and how that might impact the distribution going forward? 
Sean Reilly: I'll kick that one over to Jay with the comment that we're basically running out of it as we speak. And that is the reason that we will -- you'll see a jump in the distribution in the back half. 
Jay Johnson: That's right, Cameron. If you recall, I think we converted to a REIT in 2014, and we've been using NOLs since that time to moderate our taxable income. If this year plays out as we anticipate, this will be the last year that we will be able to use NOLs. Going forward, what you'll see is an upper pressure on our distribution as we seek to distribute 100% of our taxable income in compliance with our policy. 
Operator: And we have our next question, David Karnovsky with JPMorgan. 
Unknown Analyst: This is [ Ken ] on for David. I just wanted to ask about cost guidance for 2024. You guys added it to between 3% to 3.5%. I just wanted to ask about the puts and takes that will push you either to the high or low end of that range. I assume that it contemplates 2% to 2.5% of normalized expense growth plus the roll-off of COVID relief grants and peak ERP spending. So -- any color that you could shed on that would be helpful. 
Sean Reilly: Sure. Yes. Yes. If I understand the question, you all's model -- or you're modeling a little more than 3% growth on the comp... 
Unknown Analyst: Top 3 to 5, what would take you to... 
Sean Reilly: Okay. I got it. I got it. Okay. Got it. Got it. What takes it to the upper end of what you just said to the 5% growth. Look, if we have really steady performance in local sales like we demonstrated in Q1 and a modest, modest recovery in national. We'll get there. We'll get to the top end of that range. And then on the expense side, I think your model is spot on. 
Jay Johnson: I think you're right. It's the return of COVID-19 relief grants as well as peak ERP spend are the major drivers. 
Operator: [Operator Instructions] And our next question comes from Jason Bazinet with Citi. 
Jason Bazinet: This may be sort of a strange question, but when I read the press, it feels like consumers are sort of more upset at the health of the economy. They don't like the inflation that's going on and the wages aren't keeping up. But the ad numbers have been pretty strong. Are there any sort of areas that you're looking at that are showing signs of stress? Or is sort of the aggregate numbers that you put up and the commentary you're getting from your sales force, all as constructive as the aggregate top line that you guys are talking about? 
Sean Reilly: Jason, one of the data points I mentioned was the relative strength in quick-service restaurants. And of course, they've been all over the news talking about the strength of the consumer. But in our book, they were up 6%, right? So I would say that at least in terms of Lamar's book of business, we're not seeing that. 
Operator: And that does conclude today's Q&A session. I will now turn the call back over to Sean Reilly for closing remarks. 
Sean Reilly: Well, thanks, Michael, and thanks all for your interest in Lamar. We look forward to chatting again in August. 
Operator: Thank you. This does conclude today's teleconference. Thank you for your participation. You may now disconnect.